Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ituran Second Quarter 2020 Results Conference Call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. You should have all received by now the company's press release. If you have not received it, please contact Ituran's Investor Relations team at GK Investor & Public Relations at 1-646-688-3559 or view it in the News section of the company's website, www.ituran.co.il. I will now hand the call over to Mr. Ehud Helft of GK Investor Relations.
Ehud Helft: Thank you, Operator. Thank you. Good day to all of you, and welcome to Ituran's conference call to discuss the second quarter of 2020 results. I would like to thank you to our management for hosting this conference call. With me on the call today are Mr. Eyal Sheratzky, Co-CEO; Mr. Udi Mizrahi, Deputy COO and VP Finance; and Mr. Eli Kamer, the CFO. Eyal will begin with a summary of the quarter results, followed by Eli with a summary of the financials. We will then open the call for the questions-and-answer session. I'd like to remind everyone that Safe Harbor in the press release also cover the contents of this conference call. And now, Eyal, would you like to begin, please?
Eyal Sheratzky: Thank you, Ehud. I'd like to welcome all of you and thank you for joining us today. I hope you and your families stay healthy during this unprecedented time and I wish all those who have been infected by the virus a fast recovery. During this period, our top priority has been ensuring the health and safety of all of our employees and we continue to follow local authorities' directives as they develop and adjusting as needed. Just as important, we continue to maintain business continuity and serve our customers around the globe. From a financial standpoint even though our second quarter was particularly difficult, we are pleased with our achievement especially given the unprecedented full economic shutdowns over a part of the quarter in Israel, Brazil and other geographies we operate in. We reported an adjusted EBITDA of $13.9 million, which was about 9% below those of the first quarter 2020. And excluding currency impacts, the decline would have only been 2%. I remind you that we expected second quarter EBITDA to be between 10% and 20% below those of the first quarter. So our result showed, we were successful in mitigating some of the impact. I note that this excludes a noncash impairment in Road Track, which is an accounting effect mainly due to the sharp increase in the macro risk factors of the various countries in which Road Track operates and not related to Road Track's long-term performance or outlook specifically. The increase in country risk caused an increase in the weighted average cost of capital, WACC calculation, which lowered the valuation of this business on our balance sheet. Excluding the non-cash impairment charges, Ituran remains profitable and continues to be cash generating in fact with one of our strongest quarter of cash generation with a positive operating cash flow of $19.3 million. Ituran's stability during this unprecedented global crisis demonstrates the overall resilience of our business model. You may remember that already in the first quarter, we took some early steps, focusing on cash perseverance and reducing other expenses matching expenses with expected revenue levels. Our ability to remain profitable and cash flow positive during this global crisis, demonstrates the overall resilience of our business model. Despite the logistical working challenges, the COVID-19 pandemic has created for everyone including us, it is clear that our business is highly resilient. I remain optimistic over the long-term and I'm confident that Ituran will emerge this period a stronger and more efficient company. Once we can all put this pandemic behind us, we have the platform for long-term, sustainable and profitable growth. Our subscriber base remains strong with close to 1.8 million subscribers, whereby, the majority of them are paying us on an ongoing basis a monthly fees. Our starting point each month is already on the back of this. This enabled us to remain profitable and cash flow positive during this current unprecedented global crisis. However, new car sales drive growth in this subscriber base and the lack of new car sales especially during April and May in many of our geographies impacted our ability to recruit new customers and grow our business in the OEM business, as well as in the aftermarket business. I will spend the next few minutes diving into the details of both the corona impact first on the OEM business and then on the aftermarket business. I will start with our OEM business in Brazil and Argentina. As you all know, this business suffered last year prior to the corona, because of the weak economic situation in Brazil and Argentina as well as the change of model using their own hardware and also reducing the OEM paid term of service down to one month only. In 2020, the corona pandemic has taken a further toll on their economies and ultimately on our OEM business there. During the second quarter, we saw a net decline of 27,000 subscribers in the OEM segment as a whole. Because of the weak economic situation in Brazil and throughout Latin America during the second quarter, country risks in the region have increased in the second quarter. The higher country risk has increased the discount rate, the WACC, used when calculating the value of Road Track on our balance sheet. This meant, we had to reduce the value in which Road Track written on our balance sheet and therefore, write an impairment on this business during the quarter. I stress that the impairment is a non-cash first and second doesn't reflect a specific worsening or lowering of long-term forecast for the Road Track business. The net amount was $13.5 million, of which $14.2 million was on the operating line, an income of $0.7 million in financial income related to the liability to purchase the non-controlling interest. Despite the impact of the pandemic and the weak economy situation in Latin America on the business, more broadly we do feel that Road Track has brought Ituran strong synergies giving Ituran, access to new markets as well as an ability to cross sell additional products and services into existing ones. Looking at the aftermarket business, we saw a net decline of 16,000 subscribers. The cause in Q2 2020 was the unprecedented complete economic shutdown, primarily in Latin America for a large portion of the second quarter, because of the pandemic. In Israel, the shutdown impacted April and May, while new car sales recovered in June to levels similar almost of those of June 2019. The subscriber base in Israel was more or less stable over the quarter. In Brazil, our other large aftermarket geography, new car registration in June, were up from the lows of April, but still down 40% versus June last year. Our results in Brazil have been further compounded by the significant weakness in the real currency versus the dollar, which at the second quarter peak lost half of its values versus the dollar in only one year. Elsewhere, in Mexico, we continue planning and building out the infrastructure for our new Ituran com Seguro program, using our overall success in Brazil and adjusting it for the Mexican market. This is an example of the synergies we are exploring from Road Track. We hope to launch and start selling the product toward the end of this year. As our markets start to open up again, I do expect the new car sales to recover and we are confident that our aftermarket business will resume growth as well as eventually put the fears behind us. Ituran today has other strategy for penetrating additional segments. Our UBI offering, whereby we can offer insurance companies a solution to bill the customer per usage and driver behavior, continues to gain traction. We have now signed on five insurance companies in Israel. The subscriber numbers are growing quickly, but are still small. We believe this will already have a positive impact on next year's results. Now that we have proven the success in Israel, we recently signed a UBI agreement in Argentina and negotiating potential UBI projects in Brazil. I expect this business to become significant to our long-term subscriber growth in future. In summary, the second quarter of this year was unprecedented with complete economic shutdown in our markets, significantly impacting our business. However, we are pleased with the resilience of our business model built on a revenue base of 1.8 million subscribers. Furthermore, we prepared ourselves in advance to weather the storm and we are consistently ensuring that our expense level is matched to our revenue levels. Even during such unusual times and the most severe global crisis in 100 years, we are able to remain profitable and generate cash and we expect that this will continue to be the case in the coming quarters while the pandemic is still with us. We have made improvement throughout our business to improve efficiency and as we emerge from the corona pandemic, I believe, we are well positioned to resume growth and increase profitability. I will now hand the call over to Eli for the financial review. Eli?
Eli Kamer: Thanks, Eyal. You can also refer the press release we published today with our results. Revenue for the second quarter of 2020 were $53.3 million, a decrease of 25% compared with revenues of $71.2 million in the second quarter of 2019. Revenues from subscription fees were $43.7 million. This represents a decrease of 15% over second quarter of 2019 revenues. Excluding the currency effect, revenues from subscription fees would have shown a decrease of 7% versus the previous quarter. The subscriber base amounted to 1,751,000 as of June 30, 2020. They represent a decrease of 53,000 [ph] net over that of the end of the previous quarter. During the quarter there was a decline of 16,000 in the aftermarket subscribers base and a decline of 27,000 in the OEM subscriber base. Product revenues were $9.6 million, a decrease of 51% compared with that of the second quarter 2019. The geographic breakdown of revenues in the second quarter was as follows: Israel 51%; Brazil 25%; rest of world 24%. During the second quarter Ituran's operating expenses were $32.5 million. The operating expenses include an impairment loss of $14.2 million related to the acquisition of Road Track. As Eyal mentioned, this was due to an increase in country-led risk in Latin America due to the COVID-19 pandemic, which negatively impacted the valuation of Road Track. Excluding the impairment loss, operating expense amounted to $18.3 million. This is compared with $19.9 million in operating expenses in the second quarter of 2019. Operating loss for the quarter was $4.9 million. Excluding the impairment charge in the operating expense, the operating income was $9.3 million, 17.5% of revenues. This is compared with $13.6 million or 19.1% of revenues in the second quarter of last year. This is a decline of 31% year-over-year. In local currency terms, excluding the impairment, the operating income decline would have been 25% year-over-year. EBITDA for the quarter was a loss of $300,000. Excluding the above-mentioned, impairment charge EBITDA was $13.9 million, 26.1% of revenue, a decrease of 28% compared with $19.4 million or 27.2% of revenue in the second quarter of last year. In local currency terms the decline would have been 20% year-over-year. It is noted that versus the previous quarter the decline in EBITDA was 9% and in local currency terms this decline was only 2%, which was ahead of management expectations of 10 – between 10% or – to 20% sequential decline in EBITDA versus the first quarter. Looking ahead, we expected similar levels of EBITDA in our third quarter results. During the second quarter, one of our held company SaverOne raised 26 million shekels. And as a result our holding in the company was diluted. As a result, we had a capital gain of around $1.5 million, which is recorded as part of our financial income in the quarter. Net loss for the second quarter of 2020 was $6.3 million or loss per share of $0.30. Excluding the above-mentioned impairment charge and excluding $1.7 million financial gain due to the reduced minority liability related to the impairment of Road Track net income for the quarter was $7.2 million, 13.4% of revenues or fully diluted earnings per share of $0.34. Net income excluding the impairment charge represents a decrease of 7% compared with $7.7 million, 10.8% of revenues or fully diluted earnings per share of $0.37 in the second quarter of last year. In local currency terms, the gain would have been 1% year-over-year. Cash flow from operations for the second quarter of 2020 was $19.3 million. As of June 30, 2020 the company had cash including marketable securities of $57.2 million and a debt of $60.8 million amounting to a net debt of $3.6 million. This is compared with a cash including marketable securities of $54.3 million and debt of $67.9 million amounting to a net debt of $13.6 million as of December 31, 2019. And with that, I'd like to open the call for a question-and-answer session. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] First question is by David Kelley of Jefferies. David, please go ahead.
Gavin Kennedy: Hi, everyone. This is Gavin Kennedy on for David Kelley. You guys mentioned an expected return to aftermarket subscriber growth as the pandemic subscribes. Can you just describe how you're thinking about OEM positioning going into the second half of the year?
Eyal Sheratzky: First of all at the OEM businesses we have to mention that the plants and the production lines just reopened around end of Q2, specifically at the geographies that we operate. And we're absolutely expecting that we will sell -- restart selling new product and services to the plants. We have to understand that we recognize as subscribers at the moment that they actually shipped it and installed it in the end user cars which is a -- creates some timing difference between start selling and realize it as subscribers. So I would expect it more towards Q4 and beginning of next year, but something that we absolutely see happening is that our customers, our car manufacturers are increasing their inventories and buying products from us.
Gavin Kennedy: Great. And then just as changing gears a little bit as a follow-up really solid gross margin performance this quarter despite the dip in aftermarket subscriptions. Can you just talk a little bit about the gross margin drivers this quarter and how we should think about modeling margins going forward for the rest of the year? I know there's a lot of moving parts with this pandemic.
Eyal Sheratzky: It's important to mention that this time one of the major things that we did and we mentioned it even through the end of Q1 is that we got prepared to the pandemic and the crisis and we lowering our costs starting from salaries compensations, all around our geographies. Of course, also, lowering payments and changing conditions with suppliers. So by doing this, that we lowered our cost at the beginning. Probably we were conservative enough and we still succeed to retain some better revenues than we expected or less churn than we expected. So that leads to maybe a higher growth.
Udi Mizrahi: In addition, the mixture between the service revenues and the product revenues due to the fact that the product revenues were lower, due to the lower sales and the gross margin in the service revenue is much higher, this also contributes to a higher gross margin for the whole group.
Gavin Kennedy: Got it. And then, if I could just sneak one quick one. Just a quick housekeeping question. You mentioned similar levels of performance in Q3 as Q2. And I think in the follow-ups about the financials, you mentioned that maybe EBITDA would be at similar levels. But just, with that comment of similar levels of performance in Q3, can you just describe what you're talking about there? And that's it for me. Thanks.
Eyal Sheratzky: We said, a general, I would, say expectation, which is across the board, which mean we expect to have same profitability, same numbers in mainly EBIT and EBITDA. Of course, we have to be conscious, so we take some short range, but we really expect that we will repeat. Meaning, we will -- during this recovery -- recover time we will succeed to -- again, to overcome the crisis and keep the same results in Q3.
Gavin Kennedy: Great. Thanks, everyone.
Operator: Next question is by Asaf Chandali of Oppenheimer. Asaf, please go ahead.
Asaf Chandali: Hey, guys. Thanks for taking my question congrats on the solid results. I guess, just following up on the gross margin, specifically in the services business, obviously, very strong and a nice reversal from steady declines. We discussed in recent quarters, specifically, cost-cutting measures, number one, relating to COVID and then, just generally, relating to kind of the shift away from OEM, you having lower costs related to supporting the business. To what extent can we kind of model these elevated levels of subscriber or services gross margin moving forward.
Udi Mizrahi: We believe that once the pandemic will overcome or that will pass, then the margin should be more or less the same as it was before the pandemic.
Asaf Chandali: Okay. Understood. So at the 56-ish-percent levels?
Udi Mizrahi: That's correct.
Asaf Chandali: Cool. And so, given the fact that we're now two-thirds of the way through the quarter, any sequential momentum that you guys want to kind of point out, whether it be Israel coming back stronger? Do you -- how do you see Brazil and Mexico overall, in terms of the business you guys are seeing?
Eyal Sheratzky: I think, we have to be clear. We know that even though after the lockdowns start being released and more car sales -- or more car dealers and car plants are starting selling again, still we expect looking forward to 2021 that car sales along the world, by the way, will not be the same as back like 2019. It will recover compared to Q2 and maybe the beginning of Q3, but we know that car sales is very dependent on economic situation and we all know that the macro economy is not going to be as it was before the pandemic, at least, not in the short term, let's say, 2021, 2022. And people are buying cars depend on their wealth situation their compensation etcetera. So I'm not expecting that the growth can be as it was before the pandemic, but that's led us to be more efficient to save cost. Probably some of the costs that we saved we will continue to save. So if we succeed to get to higher levels than Q2 and Q3 and the car production lines will start turning again and if we succeed to show profits and profitability during the lockdowns, I'm quite sure that we will succeed to show hopefully next year better results, but it will be very difficult to grow to double-digit numbers as it was in the past because overall our businesses depend on the car industry. We have two things which we created during the last I would say the last quarters and something which we will launch hopefully and that's our plan before the end of this year. One is the UBI which is in Israel is ramping up. And although each subscribers is represents something like half typical subscriber, but still the numbers that we expect to have in 2021, 2022 going to be more and more material. So this can create some growth engine for it to run although the historical business will be less growing will be more stable. And the second thing which we are at least very exciting and have expectations is the ICS, which is our business that we created and became the number one in Brazil, to do it also in Mexico. Again, this is something which will allow us to overcome less car sales, but still going to more segments and in the end, growing our subscribers and growing our profits. This is not something that we will be able to show yet in our financial results in the coming two or three quarters, but going more to mid '21 and to '22 to be fair and a little bit optimistic it's good to do in those days. We really think that for more mid and long-term, we really still can think about coming back to growing subscribers and growing also the results across the Board.
Asaf Chandali: Okay. Thank you for the color. Just one last point for me. Any commentary you guys want to offer on capital allocation specifically related to the dividend and the share buyback? I know it's off the table until things get back to normal, especially with some of the cost cutting measures you guys are taking. But any way you guys are seeing it maybe longer-term?
Eyal Sheratzky: Historically, I think that Ituran's DNA is not to hold I would say excess cash. We always hold the cash that we need to operate the business. And in some point of time, in order to be able whether it's a small or mid acquisition or partnerships, Ituran I must say and be honest is in a very good position in terms of balance sheet. I know that these times many companies that are leveraged are I think struggling a lot. I also think that in the future the capital market is going to be more difficult. So I think that we feel very confident and very safe. But on the other hand, I think that the things that are part of Ituran is to be conservative to be conscious and take two, three more breaths before we are releasing the money. And as I said as long as our employees are cutting salaries, as long as our long-term suppliers are cutting prices, as long as the pandemic creates uncertainty, we decided to be conservative and still let's say even so as you saw we the company is generating satisfied cash and we are in a satisfied cash position. We will still hold it for the unknown short future. But of course, once the uncertainty will change, we will feel more confidence. And the market will -- and the world will create more certainty. And we're back to work, at the levels that we expect. And as our business trend is up. And no doubt that from this moment, we will recommend to the Board of Directors, to go and take a decision, whether paying the dividends, whether buy -- starting again to buy our own shares, maybe do these two things. No doubt, that Ituran, strategically no needs to have, excess cash. But at this time, it's a little bit different. I hope that, I don't know, nobody knows. But two, three, four quarters from now, we will be more, smart to know, where the world's macro situation is going and how, its influencing Ituran. When it's happened, I will be the first to recommend to, share with our shareholders the profits.
Asaf Chandali: Okay. Thanks for taking my questions and just again, congrats on the solid execution despite, the challenges. Thank you.
Operator: Next question is from Sasha Karim of IPI. Sasha, please go ahead.
Sasha Karim: Hi guys. Some of my questions were taken. But there's one more, I'd like to ask, which is on the affiliate, which you mentioned had a funding round. And you've got diluted. Could you give us, your stake post-dilution? And I think you said the company was called SaverOne. Could you talk a bit more about, what it does and why you invested in it? Thanks.
Eyal Sheratzky: This company by the way that you mentioned is called, SaverOne. We made -- it's a start-up that took a decision to make IPO, in the Tel Aviv Stock Exchange. We are part of a group of shareholders represent, some of the Israeli car industry players, which is car importers, and we were part of the, I would call it like the, angels investors. It's interesting -- it was interesting for us to invest because, they have a unique solution, which is not an application like, we can find hundreds in the world. It has some hardware and software solution to eliminate the ability of a driver. But only the driver by the way, the rest of the peoples can use any text application and message in his iPhone. We know today in the world, there are two main reasons for severe accidents. One is alcohol. And second or even the first is people texting and using the phone, during their driving, and since we are having a strong relationship with, the insurance companies, the industry that we are a major player in, interest in this solution. And we can -- we thought that we -- for us to connect to this investment is important. Now for the financial aspect, the company raised ILS 26 million, dilute the shareholders. Now it's a publicly company, in Tel Aviv. And we have about, 11%. We hold 14% before the IPO. After the dilution we hold 11%. It's not a major investment. It's not major portion in our P&L and balance sheet. But since the IPO was just in Q2, of course we provide this information.
Sasha Karim: Thank you very much.
Eyal Sheratzky: You're welcome.
Operator: [Operator Instructions]
Eyal Sheratzky: On behalf of management of Ituran, I would like to thank you our shareholders for your continued interest and long-term support of our business. I do look forward to speaking with you next quarter. And hope that we will all see better times, by then. Have a good day. Thank you.
Operator: Thank you. This concludes the Ituran Second Quarter 2020, Results Conference Call. Thank you for your participation. You may go ahead and disconnect.